Operator: Good morning and welcome to the Altus Power First Quarter 2022 Conference Call. As a reminder, today's call is being recorded and participants are in a listen-only mode. [Operator Instructions] At this time, for opening remarks and introductions, I would like to turn the call over to Chris Shelton, Head of Investor Relations. Thank you, sir. You may begin your presentation.
Chris Shelton: Good morning and welcome to Altus Power's first quarter 2022 earnings call.  Speaking on today's call are Gregg Felton, Co-Chief Executive Officer of Altus Power; and Dustin Weber, Chief Financial Officer. In addition, Co-Chief Executive Officer, Lars Norell will be joining us for Q&A. This morning, we issued a press release and a slide presentation both of which can be found on our website, www. altuspower.com in the Investor section, it's also available on the SEC’s website. As a reminder, our comments on this call may contain forward-looking statements. These statements refer to future events including Altus Power's future operations and financial performance. When used in this call, the words anticipate, enable, expect, believe, potential, will, should and similar expressions as they relate to Altus Power are as such a forward-looking statements. These statements are subject to various risks and uncertainties. Actual results could differ materially from those predicted in the forward-looking statements. Altus Power assumes no obligation to update these statements in the future or as circumstances change. For more information, we encourage you to review the risks, uncertainties and other factors discussed in our SEC filings that could cause our actual results to differ materially from our current expectation. Additional information concerning factors that could cause actual results to differ materially from those discussed during our conference call or in today's press release and slide deck can be found in the company's Form 10-K, filed on March 24, 2022, with the SEC and other documents filed by the company from time to time, including the company's quarterly report on Form 10-Q filed today. During this call, we will also refer to adjusted EBITDA and adjusted EBITDA margin which are non-GAAP financial measures. Our management team uses these non-GAAP financial measures to plan monitor and evaluate our financial performance and we believe this information may be useful to our investors. These non-GAAP financial measures exclude certain items and should not be considered a substitute for comparable GAAP financial measures. Altus Power's methods of computing these non-GAAP financial measures may differ from similar non-GAAP financial measures used by other companies. More detailed information about these measures and reconciliation from GAAP net income to adjusted EBITDA is contained in the press release issued today, which is available in the investor section of our website and was furnished on form 8-K with the SEC. Finally, for clarity while our slide deck is meant to provide a helpful illustrations for our prepared remarks, neither Greg nor Dustin will reference them directly. And with that, I'm pleased to turn the call over to Gregg Felton The co-Chief Executive Officer of Altus Power.
Gregg Felton : Thanks Chris and a warm welcome to everyone joining our call. I want to begin by thanking the entire Altus team for their tireless hard work. Their continued dedication positions Altus for success each and every day, and we believe is ultimately responsible for driving our long-term growth. Today, I'm pleased to report that our first quarter results position us well to meet our 2022 adjusted EBITDA guidance of 57 million to 63 million and achieve our adjusted EBITDA margin in the mid 50% range. We also continue to progress on our over 1 gigawatt pipeline, and I look forward to offering further detail on our customer engagement and pipeline segmentation in a few minutes.  First, let me offer some commentary on first quarter results. Our adjusted EBITDA guidance was designed with quarterly fluctuations in mind, driven by the seasonality of our business. We anticipated first quarter would be our lightest for revenue and EBITDA margin. And that the remaining quarters in 2022 will be characterized by higher revenue and expanded EBITDA margin, which we expect will allow us to achieve our adjusted EBITDA range for the year.  Seasonality of our portfolio is attributable to the fact that 51% of our existing megawatts are located in Massachusetts and New Jersey where winter months have much shorter daylight hours. And therefore the economics for these projects are weighted toward the second and third quarters. There is also seasonality present in our construction program where our team shows the highest efficiency during the second and third quarters resulting in new projects being completed in third and fourth quarters.  Finally as forecasted, our 2022 adjusted EBITDA guidance contemplated a step up in general and administrative overhead expense in anticipation of growth opportunities and we saw the effect of those increased costs during the first quarter.  Today I'm looking forward to addressing topics which are critical to Altus and the strong demand we see for many of our projects. These topics include an update on client engagements, the evolving economic argument for solar, a description of community solar, which we believe is quickly expanding the reach of our projects into the residential segment, and finally, an update on our project pipeline and construction progress. After that Dustin will take you through our financial highlights followed of course by your questions.  Starting on client engagement, in just seven weeks since our fourth quarter call, our origination team has been in continuing discussion with new potential customers.  In many cases, these are bilateral introductions fostered by CBRE with counterparties who want to take advantage of solar without the distraction of their time or commitment of their capital away from their primary business. We believe this is the opportunity that Altus offers and with Blackstone and CBRE’s collaboration, we're now offering solutions to more and larger prospective customers than we have in the past. We look forward to updating you in future quarters as we begin to convert these potential customers.  An additional aspect of client engagement I'm pleased to share is that we're seeing signs of Altus’s growing brand recognition among commercial customers. In several cases, prospective customers have seen announcements like our partnership with Trammell Crow and have contacted us directly to inquire whether Altus can offer a similar solution for their portfolios of either existing buildings or development sites.  Now, I want to address the current economic argument for solar and why the demand we're seeing for our projects is currently the strongest in our company's history. Our commercial customers are proactively trying to reduce their carbon footprint to achieve their sustainability goals and their drive to decarbonize is now accelerating, thanks to rising electricity prices. The US Government's 2022 Annual Energy Outlook revised its forecast for electric transmission and distribution rates upward by over 4% versus the 2021 report, and we expect the current inflationary pressures impacting material and labor to exacerbate these projected increases.  A more immediate upward pressure on utility rates is the rapid rise of natural gas prices we're witnessing across the U.S. and globally. Natural gas has become a prominent feedstock for electricity generation over the past 5 to 10 years, as coal and nuclear plants have been decommissioned. Over the past few months, natural gas prices in the U.S. have exploded higher to levels not seen since 2008. Unless prices fully revert, utilities across the United States will be required to purchase natural gas at elevated levels, which should ultimately get reflected in their customer’s electricity bills. We believe the pressure on utility rates will expand the economic advantage of solar. Altus benefits from a unique tailwind associated with these rate pressures, due to our variable rate power purchase agreements, or PPAs, which have rates that increase and decrease at a discount to the prevailing utility rate. Our variable rate contracts make up approximately 60% of our current installed portfolio. We're happy to sign either fixed or variable rate contracts, but the long-term expected increase in utility rates is precisely why we prefer these variable rate contracts. We believe the increased revenues of the recent rate increases will take a few quarters to filter into our revenues, as utilities gradually pass those costs through on a deferred basis. Turning now to a discussion on our expanding customer base, my remarks to this point have focused on our commercial and industrial customers. Another source of customers is our growing portfolio of community solar, which includes residential customers who sign up as off-takers for our commercial scale projects. Currently, about 11% of our installed portfolio or almost 40 megawatts is powering over 5,000 community solar customers, and we expect to see significant growth in this customer segment over the next few years. Some of our most recent contract wins have been portfolios of community solar projects, many of which are in our construction pipeline. Given the growth we're anticipating from this segment over the next few years, I'd like to provide further detail on these relationships. Community solar is available in utility territories where the utility commission has approved a net metering tariff. Eight of the 18 states in our footprint currently have such tariffs in place with our largest markets including Massachusetts, New Jersey, and Minnesota. Community solar customers receive the economic benefits of solar power at essentially a bulk discount, since our projects enjoy economies of scale when compared to residential solar rooftop projects. In addition, there's a social benefit by allowing Altus to reach customers who either live in apartment buildings or can't otherwise qualify for a residential rooftop project. Community solar programs socialize the benefits of discounted clean electricity by allowing Altus to service a broad segment of the community. For these reasons, we look forward to more opportunities to serve community solar customers across our footprint, as well as the potential to expand into additional states that enable net metering tariffs. We hope these additional details on our contract types, sensitivity to utility rates as well as community solar opportunities, all provide better understanding of our business.  I'd like to give additional details regarding our pipeline, and why we remain positive about both the development additions stemming from the strong customer engagement I previously mentioned, as well as a strong flow of both small and large portfolios of operating assets for us to acquire.  Here are some additional segmentation of our over 1 gigawatt pipeline to help investors and analysts track our progress. First, our pipeline is composed of approximately half potential operating acquisitions and half projects under development. With respect to the half of our pipeline which are operating acquisitions, a quarter is made up of single assets or batches of assets, which we view as ordinary course. And the remaining three quarters is made up of larger operating portfolios, where execution certainty is generally less predictable.  That said, these opportunities have the potential to provide tremendous synergies and scale to our portfolio. Our origination team continues to devote time to both sets of opportunities, because of our track record of successfully identifying commercial and industrial projects and portfolios, where our specific expertise, structuring creativity and efficient cost of capital can produce solid returns with the added benefit of a shorter runway to generating cash flow. And while we remain highly selective with respect to these opportunities, we expect to close a number of operating acquisitions each year, which would result in adjusted EBITDA and cash flow generation which we covered.  I do want to take a moment to comment on the recent rapid rise in interest rates. Rising rates are clearly pressuring asset values in the public markets and we believe higher borrowing costs will impact asset values in the private market as well. While this type of repricing can slow the pace of activity in the short-term as sellers are forced to reset price expectations, we believe Altus is relatively well positioned for the current environment. We believe we'll continue to have ample access to debt at attractive spreads and also a significant cash position available to deploy into attractive opportunities.  Turning now to the half of our pipeline made up of development projects, we're providing some buckets to help investors understand the cadence of when our projects will reach commercial operation. Approximately 20% of these projects are currently in construction or pre-construction. Another 20% are in contract or under negotiation. And the final 60% represent projects from our customer engagements which are progressing toward an agreement in principle.  Two points to emphasize on our development pipeline. First, much of our new customer engagement outlined earlier is not yet included in these numbers. As we emphasized with our Trammell Crow announcement last quarter, megawatts are only included in our development pipeline once we've reached basic agreement on specific projects. Our origination team continues to advance a large pool of new clients and remains focused on advancing all of them into our pipeline in the coming quarters.  The other factor reflected in our pipeline is our shift to larger customers with multiple potential projects, in other words, the more programmatic origination opportunities, which we previously outlined. While these larger development portfolios have a longer development cycle, we believe that focusing on these larger relationships will ultimately allow us to scale our portfolio more rapidly and profitably. One consequence of this approach is that we're consciously spending less time engaging customers with individual projects, and we've therefore removed some of these individual projects from our pipeline in favor of newer multi-project opportunities as we've described. We hope these details on our pipeline help to provide better insight into our business.  Let me now also offer our historic view on the time required to bring projects into operation. Projects originated by our channel partners which we then develop, engineer and construct, benefit from a shorter time from agreed terms to revenues, typically six to nine months based on our historical experience. Projects we’re originating ourselves and self-developing such as those with a lead from CBRE or Blackstone would historically take 12 to 15 months from agreed terms to bring to commercial operation.  You'll recall we highlighted delays to interconnection and permitting on our fourth quarter call, we forecast that these delays have added three to six months to complete our projects currently under construction. While these projects have a longer path to revenues they also come with higher returns driven by the minimal sales and marketing costs, as well as potential for scale benefits as we originate customers with portfolios of projects.  Moving to an update on construction, permitting, interconnection and supply chain issues remain a challenge for our sector. The recent Department of Commerce decision to take up the anti-circumvention case against modules traveling from Southeast Asia is further challenging the supply chain and is injecting significant uncertainty into our industry, both in terms of cost and availability of solar modules. This unfortunate risk is precisely why we struck an agreement with a North American supplier named Heliene. We have modules in our inventory as well as purchase agreements in place that give us confidence on both our supply and pricing of modules for the remainder of 2022 and into early 2023.  Regarding our projects under construction, while some of our projects continue to be stifled by the pace of permitting, utility impact studies and upgrades for interconnection as well as the availability of medium voltage equipment, we're pleased to see physical construction has commenced on some of our delayed projects. We look forward to updating you on further progress of our construction program.  In closing, I hope my comments have helped provide greater visibility into our opportunity set. First, our client engagement is growing due to the flow of our partners and our -- an increasing recognition of the Altus brand. Second, an increased demand for solar driven by our customers’ need to decarbonize and the immense pressure building on the utility rates is adding to our opportunities for client engagement.  Third, the growing appetite for community solar is offering a broader opportunity to expand further into the residential segment. And finally, we're pleased to present our pipeline segmentation, which reflects our confidence that our programmatic shift to multi-project opportunities will bear fruit.  Now I'll turn it over to Dustin who will detail our first quarter results. Dustin. 
Dustin Weber: Thanks Gregg. And welcome to everyone on the call. During the first quarter we generated total operating revenues of 19.2 million, an increase of 54% over first quarter 2021, reflecting the growth of our portfolio over the last 12 months. As Gregg discussed in his remarks, our portfolio experiences seasonality driven by our positioning in northeastern states. Adding some color to this, solar production for the first quarter typically amounts to slightly under 20% of total expectation for the year. This, coupled with our new projects which are expected to be added during the back half of the year, means that our first quarter is expected to show our weakest revenues as compared to the remaining quarters. Turning to adjusted EBITDA, we reported $8.8 million compared to $6.3 million in first quarter 2021, an increase of 38%. Our adjusted EBITDA margin for the quarter was 46%, which, again, is a result of our seasonally weakest quarter for revenues, coupled with our anticipated ramp of general and administrative expenses as we invest in our people and our platform. Just as we experienced last year, we expect adjusted EBITDA margins to be lumpy, lowest in Q1 and rising through the remaining quarters to end in the mid-50% range for the year. Our net income for the first quarter totaled $60.1 million, which was primarily the result of a non-cash gain of $64.8 million from the remeasurement of our redeemable warrants and alignment shares. Each quarter we remeasure the fair value of these derivative liabilities which can be volatile from quarter to quarter because a change in fair value is largely dependent on the change in our stock price. During the first quarter the stock price declined which resulted in reporting a large gain. Should the stock price increase in future quarters we would expect a loss on the fair value remeasurement. As it relates to the underlying business, net income in the first quarter was impacted by planned increases in cost of operations and depreciation expense directly related to new projects that went live after Q1 2021. In addition, we experienced increases in various expenses aimed at preparing Altus for the future. Most notably, increases in general and administrative and stock-based compensation expense are about expanding our business and recognizing the leadership that will drive the results and support the growth throughout 2022. Moving to our balance sheet, total debt at the end of the first quarter was $543 million. Our balance sheet remains well-capitalized with $318 million of cash on hand making our net debt figure $225 million. The primary use of our cash balance in Q1 was to procure equipment for our projects under construction which we expect will ramp further in the next couple quarters as we enter the summer construction cycle. One key advantage we maintain is our unique financing architecture during a period of dramatically rising interest rates. We've locked in our interest expense at an attractive 3.51% fixed rate on existing debt currently drawn under the investment grade rated term loan facility. While we anticipate rising rates will increase the cost of additional borrowings under this facility, we believe some of that increase will be mitigated by tighter credit spreads. We believe our balance sheet is well-positioned to execute on our development pipeline and targeted operating acquisitions as we work to profitably scale our portfolio. While in this calendar quarter we did not conclude any of our operating asset onboarding processes, nor put any late stage construction assets into operation, we remain focused on adding projects with long-term contracted revenues which we expect to provide attractive returns. To summarize, we remain on track to meet our 2022 adjusted EBITDA guidance and we believe we will continue to maintain significant liquidity to execute on our plan. With that I'd like to turn the call back to Gregg for closing remarks.
Gregg Felton: Thanks, Dustin. I want to end by reiterating the four reasons we believe we are well-positioned. We are the largest and only pure-play company in our lucrative and fast-growing sector. We are EBITDA positive, focused on growing profitably and equipped with the capital necessary to carry out our growth plan. We have valuable strategic partnerships that streamline our customer engagement. And finally, we offer a vertically integrated solution making Altus the one-stop solution for delivering savings and decarbonization benefits to our customers. We look forward to meeting many of you in person during the upcoming conference season. We're now happy to take your questions.
Operator: [Operator Instructions] Justin Clare, ROTH Capital Partners.
Justin Clare : So, I guess first off, I was just wondering, could you share how much of your 2022 EBITDA guidance is expected to be generated from assets that are currently operating versus how much might be dependent on the addition of new assets that are either in construction, preconstruction or potentially new acquisitions? And then also, for the projects that you plan to bring on this year, could you give us a sense for how much of those already have modules on site versus how many may need modules to be delivered still?
Dustin Weber: I'll take the first part 0of your question and then maybe I'll turn it over to Lars to touch on the breakout of the pipeline. So, as it relates to the portion of our EBITDA assumptions for 2022 that relate to projects that are already in operation versus those that are coming on late, we haven't put any detail out there as it relates to what that exact split is. I think we talked in our opening remarks about some of the drivers there, seasonality of the existing portfolio being one and then the other main driver is when those new projects ultimately do get placed in service and become revenue-generating. So, those are really the two main components that go into that analysis, but we haven't really put any firm numbers on it because it is largely -- it has a lot of drivers to it. So, we'll be updating the market as and when those systems do get placed in service each quarter.
Lars Norell: Thanks, Dustin. Hey, Justin, this is Lars. The additional projects that as -- from the script Dustin explained, are either operating assets that are in the process of being onboarded, so they're basically due diligenced and purchased by Altus, and the preponderance of the new construction projects that are in late stage construction and that we expect will contribute to revenue this year have modules identified. They are not always on site, they might be in storage, but they exist in our possession and are not something that we're waiting to receive based on some purchase order. Some element of deals that are in mid-stage construction right now that we still suspect may come online this year, but that will not meaningfully contribute to revenue this year because they might be turned on in November or December, have modules purchased where they have not yet been delivered into our possession in a warehouse or in some construction storage container, something like that. We still feel good about those purchase orders. They are not module vendors that would be subject to the various anti-circumvention cases going on right now. And of course, once you placed the purchase order and made a down payment there's still some risk that that counterparty won't deliver, but we feel relatively comfortable. But that's a very small portion of the deals we expect will come online this year.
Justin Clare : Okay, great. That's really helpful. And then you mentioned that 60% of your contracts are variable-rate here. Just wondering, can you give us any sense for how much those variable rates have moved up so far this year? And how often do those rates reset? And then any sense for how much those higher rates might contribute to adjusted EBITDA this year? Has that been factored into your guidance at all?
Dustin Weber: It has not been factored into our guidance. But I will say that we haven't really seen the recent broad increases in rates show up yet. And I think that's largely driven by the fact that many of our floating-rate PPAs that encompass that 60% are either tied to a utility tariff which, depending on the utility, will reset biannually or in some other leg. So, we wouldn't expect to see that show through just yet. Another subset of our floating-rate PPAs would be those that are tied to a specific customer's avoided cost. So, that's also on a look back where we're assessing what they would otherwise pay the utility on a look back basis again in maybe the six- to 12-month range. And then we do have a smaller subset of our portfolio that is selling power real time. So, there -- the rate increases have come through a little bit, but, again, it's a minor portion of our portfolio. So, I would just summarize it all by saying we haven't really seen it flow through yet in these Q1 results.
Justin Clare : Okay, got it. And then I wanted to ask about the Trammell Crow partnership. You talked about 300 MW over three to four years, but just wanted to see when do you think you could bring the -- or commence construction on the first of the assets within that 300 MW? It's still probably sometime from now, but just if you could give us a sense of that. And then is there opportunity to expand that relationship beyond the 300 MW? Any sense for that would be helpful.
Lars Norell: Sure, this is Lars again. So, let me give you a direct answer on your first -- part of your question and then try to put it into broader context. We expect, based on current process and progress, that the first Trammell Crow assets might be possible to be put into construction in the next six months. So, they are currently in different stages of interconnecting utility work and applications, etc. And one of the reasons that we're so happy to have now been able to begin the process of delivering insights into our process, into our pipeline and into the stages of deals in that pipeline to you guys, and then also prepare thoughts around the current timing of a project, is so that we can let you have an opinion and form an opinion on when these engagements with people like Trammell Crow, Blackstone, CBRE Investment Management, and all the other large customers that we've begun engagement with, when that will filter through our pipeline coming to preconstruction, construction and then ultimately be added to our client service desk and our books. The Trammell Crow engagement represents a typical large program engagement where there's a large number of assets that are all applicable to both silver storage and EV charging that, together with Trammell Crow, Altus has identified. And a subset of those assets is the first 300 MW that we've begun to work on. Once we identify a subset we will then, together with the client and the client's clients -- in the case of Trammell Crow they of course have insurance companies and other capital providers that they develop real estate for, and then they have tenants who want to live and act in those buildings and in those parcels once the buildings are complete. Together with Trammell Crow, and with a view to the clients, we then prioritize among the 300 MW, which assets are likely to be put into construction or to be finished through construction first. In which particular state is it easier for our Altus to obtain quick interconnections and the ability to start selling power to the tenants. And based on that prioritization we then start moving assets through the process. So, the 300 MW engagement, we've moved 100 MW of that into our current pipeline. And that 100 MW represents basically the deals that we are able to act on the most quickly. And both we and Trammell Crow are very happy with the collaboration between the two parties and the work that's been done. We feel like we've received a lot of benefits from the engagement with Trammell Crow. Other large entities are calling us based on it asking if we can do the same thing for them. And it feels to us that Trammell Crow is getting the same positive benefits on their side. Their investor clients and capital providers have responded very favorably to the commitment that they're now acting on together with Altus.
Justin Clare : Okay, great. And then maybe just one more for me. You mentioned the 100 MW that has moved into your current pipeline. Is that the amount that could potentially start construction in six months? And then if that is the case, when would that -- when would those assets be completed, could that be sometime in 2023 that that 100 MW could be brought online?
Lars Norell: Yes, so one of the things that we knew we were going to have to focus on at Altus, once we consummated the transaction together with CBRE is to first do a very good job in client engagement process, the origination of customer engagements like Trammell Crow. But then build resources in staffing frankly on the development and preconstruction and construction side or desks inside of Altus. And so, we're very focused on bringing the construction effort up to the level of throughput, then we can come to those desks with the first 100 MW and quickly have it go into the sign, permitting, interconnection application, etc., etc., etc. There's no lack of will on the part of Trammell Crow. There's no lack of number crunching on the part of Altus. And what we're working on is to make sure that horsepower and velocity can be kept through to construction, development and ultimately turning on process as well. We are currently dividing our new development pipeline and construction pipeline into Altus developed and constructed deals which tend to take 12 to 15 months historically. And those deals that come to us from channel partners that usually take much less, they could be as little as six to nine months before they get turned on. The Trammell Crow pipeline fits squarely in the Altus self-developed bucket. These are deals where we come to real estate that is either just newly constructed or about to be constructed, and we begin the process of designing the solar system, interconnecting it, etc., etc., etc. So, we will definitely move some of the 100 MW, and I hope more of that, into the development and preconstruction stages. And once it's in there some of the deals will probably be on the shorter end of the timeline, some will be in the middle and some will be in the longer end of the timeline. We're still seeing delays on interconnection and permitting. It's still somewhat sticky to get exactly all the material that you want like transformers and other things. So, we're continuing to fight that, and trying to bring as much of those supply-chain difficulties under our control as possible.
Operator: [Operator Instructions] Ryan Levine, Citi.
Ryan Levine: Thank you for taking my question. What portion of the 2023 solar projects are dependent on the outcome of the Department of Commerce investigation? And how does the North American supplier relationship that was [pointed out and] highlighted in the prepared remarks impacted that?
Gregg Felton: So, I mentioned in the prepared remarks that we have panels or modules in inventory, as well as on order, that are designed to not only fulfill our 2022 needs but into early 2023. As you know, the Department of Commerce investigation has created tremendous uncertainty within the sector because the predominance of modules do come from the targeted countries and we are obviously looking for a decision one way or the other relatively quickly. We've worked hard to create a diversified supply chain, the Heliene multiyear supply agreement is an example of that. And what we're looking to do with Heliene in particular is to make sure we have access to North American modules from a Tier 1 supplier that mitigates that risk. Heliene is not the only supplier; it's the one that we've named. There are other suppliers that are also outside of the target area of the DoC. But what we would say is that from our perspective we've positioned ourselves to mitigate the supply chain issues as it relates to modules in particular. As you know, there is an expectation of resolution sometime in early 2023. What we're focused on, and I probably ought to highlight for this call as well, is our ability to pass through elevated pricing. The uncertainty that exists with respect to pricing right now of modules is not helpful, of course, for anybody in the industry, but for C&I in particular, we do have clients that are very focused on decarbonization objectives and the economic benefits to some extent could be secondary. And modules make up approximately a quarter of the total project cost. So, we do expect that we'll be positioned to pass along incremental costs to our customers in the PPA.
Ryan Levine: What I was trying to get at is, per your 2023 development opportunities, what percentage -- even if it's rough -- come from North American supplier relationships versus your Asian suppliers [on the market]?
Gregg Felton: Sure, so we haven't broken that out, but what we have said is that we have a 250 MW multiyear supply agreement with Heliene, we said that publicly. And of course we have, therefore, significant access to Heliene in particular. There are other suppliers that we have relationships with that are not subject to the DoC investigation. And so, we do believe that we'll be positioned not just with North American supply, which of course is only a very small portion of global supply, but with our other suppliers to be able to procure the panels necessary to fulfill our 2023 development pipeline.
Ryan Levine: Okay. And then to the extent that in development projects were to be delayed or [technical difficulty] penalties is embedded in your contracts or anything to highlight in terms of [technical difficulty]?
Lars Norell: Yes, you cut out little bit, Ryan, [multiple speakers]. This is Lars. I think you asked do our contracts with our clients make any sort of reservations relating to the module availability while we're constructing. Is that the point?
Ryan Levine: I'm trying to understand, if there's any penalties, if there's any delays in your timeline.
Lars Norell: Usually not. Usually we have time -- we have targets in our contracts that say we need to start construction on such and such a date. We should be materially done with development on this date, etc. But these contracts from the client's perspective are likely to be very long. They're like 20- to 25-year engagements where they're going to buy clean electricity at a discount. If it takes four months versus eight months versus 10 months to secure the exact allocation of modules or transformers, or to get the right required permit, or to go through some planning and zoning permitting agency, that's usually a bit of a blip on the overall timing of that contract. And so, we have history of having projects get delayed because of utility interconnection issues. And we've never had a client reevaluate their commitment to Altus or their engagement. And usually the contracts are relatively firm. As long as we're making progress towards constructing and are not just sitting on our hands, there really isn't any room for the client to back out.
Ryan Levine: But are there penalties associated with cost overruns or delays that Altus would have to bear?
Lars Norell: No, it's usually not like the utility scale deals where there are these make-whole payments and day count issues around, look, the system has to be operational in October otherwise you're going to pay us penalties. That's not a feature in most C&I contracts. In fact, I don't think we have a single contract like that outstanding right now.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and enjoy the rest of your day.